Operator: Good morning everyone and welcome to TriState Capital Holdings’ Conference Call to discuss financial results for the three months ended June 30, 2021.  Please also note todays’ event is being recorded.  Before turning the call over to management, I would like to remind everyone that today's call may contain forward-looking statements related to the TriState Capital that reflect TriState Capital’s current views with respect to among other things future events and the Company’s financial performance, as well as the Company’s future plans, objectives or goals. Such forward-looking statements are subject to risks, and assumptions and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.
Jim Getz: Good morning. And thank you for joining us. TriState Capital delivered a very strong financial result in the second quarter as each of our businesses made meaningful contributions to our top and bottom lines. We believe TriState Capital Bank’s 35% organic loan growth annualized from the linked quarter will be truly exceptional relative to peers, any industry, and our Chartwell Investment Partners business also delivered differentiating organic growth with double digit annual growth and assets under management in the quarter to a record $11.5 billion. Collectively, our loans, deposits and assets under management reached an all-time high. This growth helped us to generate record levels of quarterly revenue pre-tax, pre-provision net revenue, pre-tax income and net income available to common stockholders. Additionally, net income available to common stockholders grew by some 78% annualized from the linked quarter and 86% from the second quarter of 2020. We also delivered earnings per share of $0.41, growing EPS, even with a higher share count and preferred dividends from our December, 2020 capital rates. Continuing our record of efficiently and effectively putting new capital to work through the responsible and meaningful growth of this company. In addition, all this core earnings growth was achieved solely through organic means and with continued, modest provision expense.
Operator:  And our first question today comes from Michael Perito from KBW. Please go ahead with your question.
Michael Perito: Hey everybody. Good morning.
Jim Getz: Good morning, Michael.
David Demas: Good morning, Mike.
Michael Perito: I wanted to start with kind of a high-level question, Jim. On the deposit growth and really improvement over the last few years has been really notable. And I guess my question is, as we look ahead, I mean, obviously, the rate environment is hard to predict. But I mean, I think, consensus outlook seem to be factoring some rate hikes at some point in the next 24 months. And I’m curious if you guys just have any high level thoughts on how the deposit portfolio might perform in that type of environment relative to your performance in the past. I mean, it seems like the relationships are a little bit stronger over the last few years with some of the hiring efforts that you’ve made. And then obviously the banking environment as a whole is a bit more digital now than it was four or five years ago. So just curious if you guys have any high level thoughts on how – or expectations about how that might perform if we do get into some type of rate increasing environment?
Jim Getz: Michael, let me make a couple of general comments and then I’m going to turn it over to Brian Fetterolf, who is the CEO of our bank. What you’re seeing is the results of some 15 years of really focusing on each aspect of this business. And it’s been coming to fruition slowly over the period of the years. And what do you want to keep in mind as I mentioned almost in every single one of these reports that we’ve put highly experienced sophisticated individuals in place, and they’ve for us on the liquidity side built a very sophisticated funding mechanism and its working. And we can control the flows that come in place through the relationships we have in place. And if you were to look at the turnover that we have of our relationship managers, it’s almost non-existent in that regard, and these are people that had a great deal of experience in their prior life. And we’re leveraging off that and seeing the results today in these numbers. So I would suggest to you the better times are yet to come. Brian?
Brian Fetterolf: Yes, thanks. Thanks, Jim. Tough to follow that last statement there. But yes, I would agree with Jim’s characterization that we’re looking forward very optimistically. We are in – we’ve – as Jim mentioned, we’ve built it over 15 years, you can look at the last two years in particular to see the diversification of that growth. Treasury management, obviously, as we pointed out is doubled in the last year. And that’s just one segment, but obviously service-based deposits being a key piece of our forward strategy relationship deposits being the broadest piece. And as Jim indicated, the people that we’ve brought in have those key relationships and getting keep in mind that this is a national deposit gathering capability. So we think that provides us a huge scale. But we’re super focused right now on being there meaningfully for existing clients to grow with them. And we are seeing our existing clients grow and attracting new clients as well. And with the technology investments we’re making, again, we look at this as very timeless technology investments. The obsolescence is low, which allows us to continue to build better and better stuff, service capabilities, and products for clients. We’re attracting new clients at the fastest rate we ever had. But to your point, we are building for two years from now in our deposit pipeline and portfolio.
Michael Perito: Got it. It’s helpful. And then this is my follow on question, maybe a question for Jim or Tim just on Chartwell, revenues are up nicely quarter-on-quarter, year-on-year. I mean, if the market cooperates, is it fair to think of this business is kind of a high single digit revenue growth type business at this point with all the investments you made. And can you just remind us also what the M&A landscape and appetite is in AUM business at this point as well?
Jim Getz: Michael, let me comment with regard to your question generally, and then I’ll turn it over to Tim. I take you back to March of 2020 and the condition of the market drove Chartwell’s assets down to $7.7 billion. We determined at that time Tim and myself, and a lot of others that we were going to solely focus on bringing Chartwell back from that level. And now, as you can see today, it has $11.5 billion. We’ve been usually successful, and I would see us at some point as we go into the new year of being much more aggressive in that market. There is a lot of opportunities that are available there, but we wanted to get our own captive infrastructure back in shape and breathing strongly. And I think you can see by the flows, the net income, it’s delivering revenue growth that it’s having an impact. Tim?
Tim Riddle: Yes, Michael. First of all, good morning. We would – we’re certainly captive to the market environment as you well know. But we would certainly expect with the exceptional results that we’ve been able to achieve, particularly on the fixed income side and with the unique type of products that we have available to both the institutional and the retail market that again revenue growth is as you had indicated is certainly something that we believe is achievable not only in the second half of the year, but going forward as well. And as Jim indicated, we’re solely focused on organic growth as a franchise. And we’ll continue to look, but obviously in this environment, there could be an opportunity that presents itself and we would be open to that, but we’re certainly not leading with our chin. So our job is to grow Chartwell organically.
Michael Perito: Got it. Thanks, Tim. And thank you guys for taking my questions.
Jim Getz: Great.
Operator: Our next question comes from Daniel Tamayo from Raymond James. Please go ahead with your question.
Daniel Tamayo: Good morning, guys.
Jim Getz: Good morning, Danny.
David Demas: Good morning, Danny.
Daniel Tamayo: Just wanted to follow up on your balance sheet growth commentary. I think you reiterated what you’ve said in the past about 15% to 20% growth for loans and deposits this year. If I heard that correctly it looks like loan growth already about 13% and deposit growth already 20% for the year. Is that just conservative commentary or you think that you’re expecting a slowdown in the second half there?
Brian Fetterolf: Yes, this is Brian. Hey, Danny. We – I would say, I mean, obviously, year-over-year, our third and fourth quarters last year were pretty impressive quarters as well. So we’ll probably look at it from an average balance perspective and the spot. But overall, we remain optimistic on the second half that the second quarter and the fourth quarter more seasonal, historically those have been sort of our strongest quarters. So we’re not surprised the second quarter performs so well. But we – I think we indicated even in the last quarter that we would expect to be at the higher end of that 15% to 20% range. And that looks like that’s where we’re going to be able to pull through. We continue to be optimistic on the private bank side. We’re seeing sort of very strong market acceptance and sort of our distribution then our internal client engagement efforts continue to grow that. So we don’t see any slow down there in the commercial side. We think we’ll pick up a bit as we indicated between the supply chain loosening on the equipment finance and some fund finance aspects. So still think 15% to 20% is a right place to direct us, but at the top end of that would be the right place.
Daniel Tamayo: Okay. And then maybe for Dave, you’ve talked in the past about NIM expansion getting up to the mid to high 160s by the end of the year. We’ve seen obviously yet some pressure on the tenure. So I wanted to see if that’s still how you’re thinking about it when the current rate environment or you need rates to rise from here to get back to that mid to high 160s?
David Demas: No, Danny. We still believe that, as we’ve long said, we’re more focused on net interest income growth through sort of reasonable and risk manage growth in loans and investments, building durable relationships and matching liquidity with the needs as we built the franchise. We were pleased that we were able to expand NIM in the quarter and we see that expansion continuing for the rest of the year. It’ll primarily be driven by deposit cost reductions, as we manage deposit balances in line with the opportunities for deploying that liquidity. We believe that we’ll be able to achieve further cost reductions in that category as we continue to grow deposits. And as we’ve shared with you at the beginning of the year, we would again expect that the NIM will be somewhere in the mid to high 160s by year end.
Daniel Tamayo: That’s great.
Jim Getz: It might be a good place that to add real quickly, just from a tenure perspectives. Certainly it’s a metric that we watch, but we think that, again, if you roll it over to the swap revenue opportunity, we’ve demonstrated we can work with the swap market in all markets and all rate curves, flat steepening and inverted. But we’re pretty happy with where the tenure is right now. It gives us a lot of opportunities. Our clients are super engaged at these levels. So, we think that we in some respects, the stock sometimes trades obviously with the industry and around the tenure because of everybody’s exposure to that. We would say we have more opportunities in that kind of environment. So obviously that’s separate from the NIM question. But from a revenue perspective, we’re happy where we are and obviously is good for Chartwell as well.
Daniel Tamayo: That’s great color. I appreciate it. Thanks guys.
Operator: Our next question comes from Matt Olney from Stephens. Please go ahead with your question.
Matt Olney: Thanks. Good morning. I want to go back to the discussion around deposits. And as you mentioned that the banks made tremendous progress, lowering deposit cost, and really growing the treasury management business. And I expect we’ll see more of the benefits of that with higher rates. But I guess, given the floating rate nature of TriState assets, I’m curious what the appetite is at this point to start considering locking in some longer term of funding on the liability side? Thanks.
David Demas: Matt, good morning. We certainly talk about that regularly. It’s something we’re looking at evaluating, but we’ve not done anything at scale yet. We continue to be quite pleased with the treasury management growth. Those balances are 20% of our total deposits now, which we just started that business four or five years ago. So we’ll certainly continue to look at that in an effort to drive total return to the shareholder. And what they do with any strategy we employ on a go forward basis.
Jim Getz: I think I would just add to that. Obviously, we look at the deposit portfolio as an opportunity. I mean, it’s obviously a way to fund the lending part of our business, but again, just take a brief outtake for relationship building right. And so some of our time deposits might be what clients are expecting. Some of that will be what we want, what we’d like to do. So it’s a bit of – at this point, it’s a market where our clients are not requesting that. So that puts us in a spot where we get to design the product mix. And at this point, as David mentioned, we’re – and we think we have the right product mix at this point. But we’re watching it consistently and putting our own forecast together on what we think would happen and what it would make sense.
Matt Olney: Okay. That’s helpful. And then any update on the loan floors. I think the press release mentioned that 94% of the loans are floating and indexes 30 days just remind us how active the floors are currently and any commentary you can provide on how many fed fund hikes we’d have to see to get above those floors? Thanks.
Jim Getz: Yes. Great. Yes. It’s less than two. So there’s a bit of a difference on the floor levels across the different loan product types. But in two fed rate moves, we would be through the floors on average fundamentally. So it’s been a significant contributor to the business over the last 12 months. But as we continue to adapt a new loan originations and how we’re approaching spreads and floors going forward, it would be about two rate moves if you look at the whole loan portfolio.
Matt Olney: Thank you.
Operator: Our next question comes from Steve Moss from B. Riley FBR. Please go ahead with your question.
Steve Moss: Good morning.
Jim Getz: Good morning, Steve.
David Demas: Good morning, Steve.
Steve Moss: Maybe just turn off with the loan mix here, you  crossed over 60% this quarter for private banking loans. Just kind of curious, where are you thinking that mix ends up by year end here?
Jim Getz: Sorry, just to clarify, do you mean as a portion of growth or just overall portfolio?
Steve Moss: The overall portfolio and definitely any color on growth would be good too, just because obviously momentum seems very strong here.
Jim Getz: Yes. Great. So yes, we’ll – we continue to grow into the mid-60s from a portfolio composition perspective. I mean, as you’re seeing when we say, 15% to 20%, we’re talking about the private bank, obviously a larger base and then growing at not quite double, but a premium, a multiple of the commercial side. So that will continue to grow. I think this second quarter is probably a bit – probably a bigger difference between the rates of growth. I think the third quarter will probably be a bit more reflective. But I think what we were talking about the commercial side grown 12% and the private bank were in 25% so  the 10 to 12.
Steve Moss: Okay, great. That’s helpful. And then in terms of just, loan pricing these days, just wondering if you could give any update on where spreads are for commercial loans in a commercial real estate and also the private banking loans?
Jim Getz: Yes. So I think from our guidance perspective from last time, we were, on our – I think we were probably still in the same place. Our CRE loans from a yield perspective is sort of that 3% to 3.75% range, C&I loans sort of the 2.5% to 3.25% range and private bank loans probably a 2% to 3% range. So those are from a yield perspective where we are seeing things come in now.
Steve Moss: Okay, great. Thank you very much. Appreciate that.
Brian Fetterolf: Yes, great.
Operator: And our next question comes from Russell Gunther from D.A. Davidson. Please go ahead with your question.
Russell Gunther: Hey, good morning guys.
David Demas: Good morning Russell.
Brian Fetterolf: Good morning Russell.
Russell Gunther: Just a quick follow-up on the C&I expectations for the back half of the year. I appreciate your comments in the prepared remarks on the Q&A. But just if you could give some color on what's driving the optimism in the back half, I know equipment finance is seasonally strong in 4Q, but any other color in terms of order of magnitude for growth and what the drivers are there.
Brian Fetterolf: Yes. I mean, if you look at our again rate of growth expectations or our goals for the commercial side, probably slightly lower than we've had in past years, so that a 12% growth rate is probably optimistic for a lot of people. It's probably at middle of the road for us. So, I'm pleased, but not satisfied with that just from a point of perspective. But yes, the first half of the year we're continuing to see good production on the commercial real estate side. I mean, I would say that we've actually seen a little bit from an unanticipated, idiosyncratic payoff perspective on commercial real estate, where some of our clients not looking to sell were offered some pretty significant opportunities. So, we've lost our balance in the short term, but those are clients that, we work with very significantly and we see them redeploying that that capital into new opportunities. So, we'll be there with them to grow that piece back. But overall, the commercial real estate, we are confident in our ability to continue to grow that a positive sense with our clients. And then the fund finance if we look at it, we're only about $200 million borrowed against about $600 million in commitments. So, we see a significant opportunity for that to pick up in the second half of the year. So, we continue to grow that business very nicely and we like who we're working with, but we see more opportunities and just timing of where they are going to put capital to work in the second half. So that will be positive. And then as we indicated, second half is usually better for equipment finance anyway. But the supply chains ease and things of that nature, deals that we've already won that we'll fund in the third and fourth quarter that will be positive. So those are the fundamental aspects. I mean, nothing really – I think we're – nothing exceptional, pretty consistent, themes that we've had in – over the year just coming to play in the second half of the year. But overall, we're very optimistic about how our clients and prospects are performing. Again, if you look at our, I mean, we obviously provide a deferral activity, but we're – as of today, we'll be down – we're down to two loans that are still in a deferral program of less than $20 million. So again, the way that our clients have managed through this and are growing actually, through the 2021, 2022 timeframe is very strong. So, we're optimistic about our ability to grow with our existing clients, as well as attract new ones.
Russell Gunther: I appreciate the color, Brian, thank you. And then just switching gears for the last question, too expensive, you guys reiterated the 10% to 12% expectation for this year. And as you continue to plan for the future and continued franchise investment and items like travel and entertainment might begin to normalize, is that a range that you expect to be able to maintain over a longer term, or are there near-term plans for the business – businesses that could push that range higher going forward?
Jim Getz: Let me – this is Jim Getz. Let me comment first. And this is probably one of the only times in this type of call that you will hear this, this expense growth has always been by design. And our expenses clearly reflect our continual investment in our people, our infrastructure, our technology, and our clients, while moving toward the future and we're doing this as you notice in this quarter's numbers while our profit margins are expanding. So that's what I meant in the end of my presentation when we talked about critical mass. We've reached that critical mass level that we're going to be able to continue to do that and invest in the future while we're providing a profitable franchise to our shareholders. David?
David Demas: Yes, Russell, let me just add some color commentary to that. So, year-over-year we've grown a revenue at 16%, the balance sheet has grown at 26% and expenses, as you note, are growing at about 14.5%. This supports our overall goal of positive, operating leverage. Importantly, the overall efficiency ratio for the bank has slightly improved when comparing the year-to-date results over the prior year as has the non-interest expense to average asset ratio. Efficiency ratio stands at 51% year-to-date and non-interest expense is about 1.26%. Our ROE, our return on equity, has steadily and substantially improved in each of the last four quarters, now stands at 10.37% on a spot basis as of the most recent quarter, as we put the capital that we've raised in two different raises last year to work. We believe we can continue to drive ROE improvements in the quarters ahead. What this tells us is that the investments we're making that Jim pointed out are driving better execution and making our business more efficient and effective. It tells us that we're making good investments. Let me give you some color on the primary drivers of expense growth. One is people, compensation cost is up 20% year-over-year; and technology and data services is up 44% year-over-year. The growth rate on these two expenses should moderate somewhat in the second half of the year. Hiring was minimized the last year, second quarter in light of the early stages of the pandemic. Whereas this year we have front-loaded that hiring and to the beginning of the year, coupled with strong financial results driving incentive accrual increases. But that hiring pace moderate somewhat in the second half.  In the area of technology and data, we delayed our innovation and development spend through the second quarter of 2020, again in light of the pandemic, but began implementing a more robust development in the second half of last year and that continues into 2021. For technology and data, on a full year basis, I would say the year-over-year comparison should be somewhere in the low to mid 20% range down from 44% what you're seeing right now. Other expenses, is also something that grew very modestly in the quarter it was driven by growth. Growth on our unfunded loan commitments, that expense is categorized differently than the funded, on balance sheet loans through the reserves in the income statement. So just simply a function of growth. We still intend to drive positive operating leverage, growing revenue faster than our expenses. And we are driving to keep expense growth to 12% year-over-year. We've got work to do to get there, but we will not sacrifice our long-term objectives and we'll continue to focus on serving our clients well.
Brian Fetterolf: Yes, I'll just add, we're – I think, both Jim and David summed it up well. We're excited about where we're going. We've continued to – we took about a four-week hiatus last year, just to see where things would sort of level out in the second quarter. But absent that for four weeks we've continued to invest in the business, understanding where the opportunities are. Again, as we sit here around the table, we are as optimistic as we ever have been in all the lines of the business thing. Jim summed it up earlier. We couldn't be more happy with what we're showing here and this makes sense to keep investing in this and staying ahead of it. And we’re rewarding not only, paying off growth, rewarding investors and rewarding our clients for continuing to grow with us.
Russell Gunther: Thank you all for taking my questions and the detailed response.
Brian Fetterolf: Thank you.
Operator: Thank you. Ladies and gentlemen, we have a follow-up from Matt Olney from Stephens. Please go ahead with your follow-up.
Matt Olney: Yes, thanks for taking the follow-up. I guess as I speak with investors, it seems like the market is very concerned about TriState's impact to higher short-term rates. And we touched earlier about the floors that could be a potential headwind for at least the first few rate hikes. But I guess taking a step back, I'm curious what you'd expect from the bank’s net interest margin on the first few rate hikes? I guess if I look at the 10-Q disclosures around the shock analysis, my assumption is, is that the bank does expect an initial downward move in the margin with the first few rate hikes, but we'd love to hear any commentary you can add to that.
Brian Fetterolf: So Matt, we just followed the dot plot, right. And so, the dot plot would suggest there's two raises sometime in 2023. But as I just look at our forecast for the next two years, which obviously is very preliminary, we see modest expansion throughout that period. So, we're not tied to the ten-year, we're tied to short rates as you point out. But between deposit cost moderation, things that we're studying in terms of sort of fixing rates for a longer period of time, and just the ability to deploy the liquidity quickly into income producing assets, we see a modest expansion through next two years.
David Demas: I think from a cost of deposits perspective, yes, the one thing that's not modeled in there is, again, from a client perspective, our goal is to work with, every product that they would need and our goal is to own their entire relationship. So, we have a blend of non-interest-bearing and interest-bearing deposits with them. But if you look at the service side of the business and you look at like our treasury management business, I think, we've talked about it before, in a normalized rate environment our goal is to run that business on the rate side at a LIBOR equivalent of minus 100 basis points. So, LIBOR, whatever index you want to pick less 100 basis points. So, if you think about here, we're obviously there is no LIBOR minus 100. So, we think that there's a lot of protection built into the existing business, which is a natural hedge which is obviously the way we built it. And then obviously, as you talked before, with opportunities for us to build in term deposits and some other things we get closer. But that breakeven point is pretty important as you know. So, absent our real client demands were probably a little early in that process. But again, a lot of natural hedges built into the business that maybe weren't as robust in the 2018 timeframe.
Matt Olney: And within the deposit balance, can you remind us what percent of those are indexed and how would you expect that to change if at all over the next few years?
Brian Fetterolf: Yes. So, if you look at overall, I mean, we talked about it in the release, we talked about 60% of what it would be 60% of non-time interest bearing deposits are linked to EFF or some equivalent index. So, if we look at overall it's about – it comes out to about 21% of total deposits, that would be indexed in that way. So, moderating that pretty significantly at one point we are probably more than that 45% range. So, we think again, a good diversification across the deposit portfolio. I mean, we still like that from a pricing perspective and it's building – it's a source of a lot of sophisticated relationships with us who we have the private bank relationships with and other lending aspects. So, we're happy with that. That component of the portfolio, but it's a good measure of where we continue to diversify the deposit base and the pricing base.
Matt Olney: Okay. That's great Brian, thanks for that. And then, I guess, the last question is around capital. And I'm looking at the leverage ratio at the bank. And I think we're now, I call it, 7.34%. And I think we saw the capital raise last year when we got down to that 7% level. So, we'll love to hear any thoughts you have on addressing the capital needs of the bank, especially given the strong outlook for loan growth from here.
Tim Riddle: Yes, Matt, as you point out, we've grown the balance sheet at the higher end of our expectations this year, strong growth, and we expect that to continue. We've worked hard to put the capital raise last year to use some high-quality new loans and increase balance sheet liquidity in the investment portfolio. We're striving to get that close to – or get that to 15% and we're close now. I talked a little earlier about our ROE, return on equity. We're pleased with that 10.37%, we believe we have more room to improve that in the coming quarters. And that's up from 6.5% this time last year. So great improvement there. The capital we've raised is now deployed and starting to generate meaningful returns. We continue to be very thoughtful and flexible around capital strategies. We don't necessarily need to raise capital before year end, and we'd be fine starting 2022 with the current levels in terms of the balance sheet composition, loan growth and where capital sits. Having said that we'll continue to look at opportunities to raise capital and what we would describe as a very economical and most efficient way with a continued focus on the shareholder. Given the market conditions sub debt could be a very attractive form of that additional capital given where rates are. And as you know, you raised that of the holding company push it down to the bank and accounts as Tier 1. So, no immediate plans to access the capital markets, but it's something we're looking at as the coming quarters play out.
Brian Fetterolf: Yes, I think, I would add Matt, Tim used the statement what our primary job is or our mission is. And so, we saw it as obviously having raised $200 million in a pretty rapid time period in 2020, again, taking the moment in time to realize that we were going to have some pretty significant growth opportunities which we would consider better than the market or better than the industry. And we knew that we needed to take that time to invest so we can be there for those opportunities. So, we're certainly bringing those to bear. And we viewed it as part of our job on a risk-adjusted basis, responsible growth basis to deploy that capital as quickly as possible to basically cover the lag on capital raises. So, we're very happy with where we've done it. If you look at the asset growth relative to, for example, the loan-to-deposit ratio is 91% is clearly reflective of our ability to raise deposits and deploy that into other assets. Those assets – that asset mix could give us some flexibility as well. It is how we look at funding the loans at any particular time. And we've talked about it before, from an investment perspective, staying very high quality in relatively short duration. So again, our goal is to be as agile as possible between funding, and capital, and asset and balance sheet management. So, we have some flexibility in there as David pointed out, timing, but certainly being opportunistic, we have some historic opportunities to – ahead on the growth side, probably the capital, if we wanted to pursue that in the sub debt space and otherwise just to manage our balance sheet.
Matt Olney: Okay. Thanks guys. That’s all from me. Congrats on the quarter.
Jim Getz: Thanks, Matt.
Brian Fetterolf: Thanks very much.
Operator: And ladies and gentlemen, with that we'll conclude today's question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Jim Getz: Thank you very much for your continued interest in TriState Capital and your participation today. We certainly look forward to updating you on the third quarter results in October. Have a great day.